Operator: Welcome to IDACORP's Third Quarter 2017 Conference Call. Today's call is being recorded and webcast live. A complete replay will be available from the end of the day for a period of 12 months on the company's website at idacorpinc.com. [Operator Instructions] Now, I will turn the call over to Justin Forsberg, Director of Investor Relations.
Justin Forsberg: Thanks, Gary. Before the markets opened today, we issued and posted to the IDACORP’s website both our third quarter 2017 earnings release and Form 10-Q. The slides we’ll be using to supplement today's call are also available on our website. We'll refer to those slides by number during the call. As noted on Slide 2, our presentation today will include forward-looking statements, which represent our current views on what the future holds. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made today, some of which are listed on Slide 2 and are supplemented by information in our filings with the Securities and Exchange Commission, which we encourage you to review. We caution you against placing undue reliance on any forward-looking statements. As shown on Slide 3, on today's call, we have Darrel Anderson, President and Chief Executive Officer; and Steve Keen, Senior Vice President, Chief Financial Officer and Treasurer along with other individuals available to help answer your questions during the question-and-answer period. On Slide 4, we present our quarterly financial results. IDACORP's 2017 third quarter earnings per diluted share were $1.80, an increase of $0.15 per share from last year's third quarter. For the first nine months of 2017, earnings per diluted share were $3.44, $0.16 higher than the first nine months of 2016. I will now turn the presentation over to Steve.
Steve Keen: Thanks, Justin. Our positive third quarter results have put us in a good position for a strong finish in 2017. Earnings last quarter exceeded our internal expectations with warmer than normal weather and strong economic activity driving higher results. In addition, we continue to see ongoing earnings benefits from rate based additions approved earlier in the year. On Slide 5, you’ll see a reconciliation of income from the third quarter of 2016 to the third quarter of 2017. I’ll now walk you through those changes. At Idaho Power, 1.8% annual customer growth in our service area provided an increase of $2.3 million to operating income. Higher sales volumes for most customer classes also increased operating income by $12 million. Temperatures during the quarter were higher than normal and when compared with the prior year contributing to much of the 12% increase in residential usage per customer. Higher usage also contributed to increased revenues per megawatt hour as many residential customers where in higher rate tiers during the summer months. We attribute economic growth to a respective 8% and 6% increase in industrial and commercial use per customer over 2016. And the Idaho fixed cost adjustment mechanism or FCA tempered the benefit from increased usage by residential and small commercial customers by $7.4 million. Ongoing benefits resulting from the North Valmy settlement stipulations approved by the Idaho and Oregon public utilities commissions, earlier this year, are reflected in the $14.3 million increase in revenue per megawatt hour, as well as the $4.2 million increase in depreciation expense further down the table. We continue to expect the settlement stipulations to add $5.2 million to 2017 net income when compared with our estimate without this settlement. This includes an after-tax increase in net income of $1.3 million for the third quarter, and an estimated $1.4 million of additional benefit to be recorded during the fourth quarter of 2017. We expect the Valmy settlement stipulations to provide gradually smaller earnings benefited in future years through the end of the stipulation period, which is 2028 in Idaho. In addition, to these changes in general business revenues, Idaho Power's operating income benefited from a $2.1 million increase in transmission wheeling due to increases in both wheeling volumes and in the transmission wheeling rate, which became effective in October 2016. The Federal Energy Regulatory Commission or FERK approved a further increase in the transmission wheeling rate this October. The magnitude of these tariff rate changes is largely attributable to the transmission asset swap we entered into with PacifiCorp during the fourth quarter of 2015 and will serve to better align revenues collected on wheeling with the cost of providing the service to transmission customers. We cannot yet estimate the impact if any these rate increases will have on wheeling volumes going forward. Operating and maintenance expenses at Idaho Power decreased $2.9 million for the quarter largely related to lower generation at the thermal plant and the timing of maintenance at the coal plant, while O&M is flat year-to-date compared to 2016. Overall, Idaho Power's operating income was higher by $21.6 million when compared with the third quarter of 2016. Earnings of unconsolidated equity method investments was lower by $7 million. This change primarily relates to timing of Bridger Coal Company earnings. We expect full-year 2017 earnings from Bridger Coal Company to be slightly below the full-year 2016. Income taxes were $5.6 million higher, primarily related to higher pretax earnings. In addition, Idaho Power did not record any additional accumulated deferred investment tax credit or ADITC amortization during the third quarter or year-to-date. This compares to 2016 when we recorded $1 million of additional ADITC amortization during the third quarter and $1.5 million for the first nine months. Idaho Power does not expect to record any additional ADITC amortization in 2017. Also in 2016, IDACORP recorded $1.6 million of tax benefits from distributions from fully amortized affordable housing investments, which did not record in this year's third quarter. Overall, these changes combine to increase both Idaho Power's and IDACORP’s net income by $8.3 million and $7.5 million respectively over last year's third quarter. IDACORP and Idaho Power continue to maintain strong balance sheets, including good liquidity and investment grade credit ratings. On Slide 6, we show IDACORP’s operating cash flows along with our liquidity positions at the end of the third quarter. Cash flow from operations for the first nine months of 2017 increased $73.4 million, mostly due to changes in regulatory assets and liabilities, income tax accounts, and the timing of working capital receipts and payment. IDACORP and Idaho Power currently have in place credit facilities of $100 million and $300 million, respectively to meet short-term liquidity and operating requirements. The liquidity available under the credit facilities is shown on the bottom of Slide 6. Slide 7 shows the updated financial and operating metrics for the full-year 2017. We are increasing IDACORP’s earnings guidance to a range of $4.05 to $4.15 per diluted share. Earnings within this range would result in IDACORP’s tenth consecutive year of earnings growth. For both O&M and capital, our estimates remain the same and we continue to expect no need for additional amortization of ADITC’s. We did tighten our expected hydroelectric generation range to a range of 8.5 to 9 million megawatt hours. These guidance assumptions reflect strong financial and operating results to date and the continued positive impacts of the approved rate base additions. Current estimates indicate we will be within the earnings debt band of between 9.5% and 10% return on Idaho jurisdictional year-end equity. Preservation of the authorized ADITC balance benefits both customers and shareholders and remains a key focus in our efforts to effectively manage cost and growing revenues. I’ll now turn the presentation over to Darrel.
Darrel Anderson: Thanks Steve, and good afternoon everyone, and thanks for joining us on today's call. I like to start by sharing some economic and growth updates from our area. You will see on Slide 8 that economic activity remained strong at Idaho Power service area. Frequent customer growth stories continue to highlight the many reasons people and companies are choosing to grow their business or relocate to Idaho. For example, Jayco, a manufacturer of towable and motorized recreational vehicles announced plans to expand their manufacturing footprint in Twin Falls Idaho after considering several other Western State locations. Also, recently, eCobalt announced plans to develop a cobalt mining operation and refinery in our service area. According to the company's release, the mine is the only environmentally permitted primary cobalt project in the United States. Cobalt is used in the production of rechargeable batteries among other uses. Looking forward we have seen a continued increase in large load request from both potential new customers and existing customers desiring to expand. We have a number of new large projects, new large load projects that are forecasted to begin taking energy service in the fourth quarter with more set to begin taking service over the next year and beyond. As Steve noted previously, Idaho Power's overall customer growth rate in the third quarter was 1.8% over the past 12 months. This economic growth translates to an increase in sales, which in turn contributed to recording a new peak demand record on July 7 reaching 3,422 megawatts, an increase from the previous record at 3,407 megawatts set in July 2013. Unemployment in our service area was 2.8%, compared with 4.2% at the national level. Compared to this time last year, employment in our service area increased approximately 2.6%. Idaho continues to show solid economic and residential growth. Gross domestic project grew 3.8% over last year's third quarter, while Moody's analytics projects 2018 and 2019 GDP growth to be 4.3% and 3.1%, respectively. In August, Bloomberg named Idaho as the top performing economy in the nation, partly reflecting the increasingly dynamic companies having transformed Idaho to manufacturing and services from commodities and agriculture, according to the article. In the analysis, Idaho's economic health improved 9.7%, almost 4 percentage points above the Number 2 state and personal income among Idaho has increased at the fastest rate in the nation since the data was first compiled in 1948. Idaho also came in at Number 6 on CNBC's recent list of America's 10 cheapest states to live in 2017, which is a variety of factors to calculate a cost of living score. One of those factors was the average cost of resident’s monthly energy bills. Idaho had the second lowest rates on that list and we certainly see low energy cost as a significant factor driving business expansion interest in our service area. Idaho continues to be mentioned in several other business ranking categories from a variety of sources as reported on the Idaho Department of Commerce's website. Including the Number 2 state for tech sector growth, the fifth ranked state for business friendliness, and number one in fastest job growth. These are all indicators that our economy is moving in the right direction. Now turning to Slide 9, shareholders are continuing to benefit from our earnings growth in the form of increased dividends. In September, IDACORP’s Board of Directors approved a quarterly dividend increase of $0.04 per share from $0.55 to $0.59 per share. This increase when combined with increases approved by the board since 2011, represents a 97% increase in the dividend rate. We continue to expect to recommend to the board future annual increases of 5% or more until we get near the upper end of the target payout ratio of between 50% and 60% of sustainable IDACORP earnings. Now for some regulatory and large project updates on Slide 10. As part of the annual application process related to the energy efficiency rider in our Idaho jurisdiction. The Idaho Public Utilities Commission or IPUC had previously deferred decisions regarding the prudence of energy efficiency-related labor increases. Last month, the IPUC approved an order determining that the 2011 through 2016 Idaho rider funded labor increases of $1.9 million were prudently incurred and eligible for collection. This pre-tax amount is expected to benefit 2017 earnings as Idaho Power had previously expensed these labor increases each year since 2011. We believe this outcome further encourages Idaho Power to continue to be diligent in its efforts to offer cost-effective energy efficiency programs. As a result of this order, we expect full-year 2017 operating income to benefit by $2.3 million. This amount is included in the earnings guidance that Steve referred to earlier. We expect the Bureau of Land Management to issue a record of decision for our proposed Boardman-to-Hemingway or B2H transmission line project by the end of this year. This decision will be an important milestone from the federal regulatory perspective for this key project, which would allow us to meet the needs of our customers consistent with the result to our integrated resource plan. The process for obtaining approval from the State of Oregon is well underway and we continue to expect B2H in-service date to be in 2024 or beyond. Moving to our Hells Canyon re-licensing efforts, settlement proceedings related to the prudence of our expenditures through 2015 are ongoing, and to date have been productive. We are also continuing to work with the states of Idaho and Oregon regarding the water quality certification portion of the realizing effort to reach a sensible solution. A continued growth in customers and the effective management of operating expenses continue to be important components in our evaluation of the need and timing of filing general rate cases in Idaho Oregon. At this time, we do not expect to file a general rate case in either Idaho or Oregon in the near term. I will close with a look at whether projections. As outlined on Slide 11, the projected November to January weather outlook suggest that there is a greater than 33% chance for above normal precipitation throughout Idaho Power service area, and generally between a 33% and 40% chance of above normal temperatures. As we begin a new water year, reservoir levels across our region are currently higher than normal, thanks to last year's heavy snow pack. That storage combined with a favorable precipitation forecast should bode well for another good water year in 2018. With that, Steve and I and others on the call will be happy to answer your questions.
Operator: Thank you. [Operator Instructions] The first question comes from Paul Ridzon with KeyBanc Capital. Please go ahead.
Paul Ridzon: Good afternoon guys.
Darrel Anderson: Hi Paul.
Steve Keen: Hi Paul.
Paul Ridzon: Steve, you said the outlook for the rest of the year for the Valmy, I think you said 1.3 million and 1.4 million, was the balance of that recognized in the second quarter, trying to get my timing, right?
Steve Keen: Yes. The full year amount we gave is the sum of the three quarters, yes. And we haven't changed that number since we originally talked about it.
Paul Ridzon: The FCA, kind of decoupling mechanism just break down when you get to the point when you're in the higher tiers?
Steve Keen: What it does is, certainly from a pure volume standpoint it gives and takes and when we sell more that returns some of that higher cost of the customers pay back to customers. That’s how the mechanism works when we sell less. It helps us, it replaces some of that, but we do get benefits and that’s why we mentioned the tiering. The fact it drives people to hire tiers, that portion is not really impacted by the FCA. So, we would argue there is still positive benefits from an earnings standpoint as we have higher usage in the summer, but it certainly mitigates to some, but I can tell you that having had a couple of winters where we didn’t necessarily see it exactly like we thought, it clearly helps there as well and it gives you a more predictable stream.
Paul Ridzon: And can we assume that you're going to be in the customers sharing ROE bands?
Steve Keen: What we have said today is that we are in between - we are in the deadband is s what we - that is where we sit right now. It is between the 9.5 on the 10.
Darrel Anderson: Paul, it is Darrel. Given the guidance that Steve provided, where that puts us is in within that deadband between earning up to almost the sharing levels. So, we are not there yet given the range that we’re providing right now.
Steve Keen: We did move beyond - Paul, we moved beyond the credit need is why this is actually giving us the ability to show a little bit higher earnings and there is a point when that moves into the sharing band, but we are kind of in between those two right now.
Paul Ridzon: And that band is 9.5 to 10.5?
Steve Keen: To 10.
Darrel Anderson: 9.5 to 10, yes.
Paul Ridzon: And Darrel, I appreciate your commentary on rate case activity, but how do you think about near term?
Darrel Anderson: That’s a good question Paul. So, I think as we stay here right now, what I would tell you is, first I get to think about what the timing of our regulatory process is, for the time you file it’s about seven months and then you have to give advance notice and all those sorts of things. So obviously we’re not looking to do anything through the balance of this year from a standpoint of filing and then we will assess 2018, but I think right now you have to think about how long a lead time there is, so we would have to signal early in 2018 if we are going to do something for 2019. So, stay tuned for that, but I would just tell you given what we would hope to see is continued strong economic activity and if we can continue to manage the expenses like we have done this year, we would hope to not have to go in, and those are going to be couple of the key drivers to us, but as I meant - the reason we focus on economic activity is, as we are seeing a lot and that is allowing us to not have to go in and file. As you noted, we started out the year thinking we were going to use credits. Well because of our management of expenses and the continued benefits we saw with the economy, we - and also the additional rate base that went into effect that’s allowed us not to have to file. So, we would do everything we can not to file and our whole goal is not to have to raise prices for customers. So that’s where our focus is and so I don't want to say with any sense of specificity as, yes, we are going to file on this date, but we are going to continue to manage it like we have.
Paul Ridzon: And then certainly that 1.8% customer growth is a nice tailwind to keep you out of the regulatory arena, is there some more dry powder on the cost front?
Steve Keen: You know Paul it’s - we have done a good job in holding it fairly level, and I would say that has become more challenging each year, but I would say we are targeted more or not having major increases then we are a massive reduction and recalled that you’ve heard us say in meetings in the past, we’ve attempted to do this by rightsizing what we do. We are not cutting things that are going to impact customers or cause problems with the system. We’re trying to be creative. We’ve taken advantage of retirements that is the baby boom era hit us and we had people leaving. We have looked for every opportunity to capture savings where we could, but we’re not in a massive cut mode. In fact, if anything we’re maintaining the system and improving service to customers. So, there is some limits to how far down, but I tell you, I have started to believe that we have found a new focus that has led us continue to have each year be kind of in line with where we were before, but it’s challenging. I have to admit that.
Darrel Anderson: I would just add one thing on it because Steve mentioned, the labor side of the equation. One of the things, we obviously disclose our headcount from time to time and our headcount has been fairly flat for the last four or five years, despite all the pressures on so many, many things that are coming at us whether they be in areas of security, new compliance regulations, a lot of those things create more work to do, and we're just trying to continue to try to find out better ways in which to do some of that work. And so even as we see today, right now our headcount is down from where we were last year. Part of that’s timing, open positions, and what have you, but we are keeping a real track of that and leadership is really focused on doing that, but at the same time not putting the business at risk.
Paul Ridzon: Okay, thank you very much.
Darrel Anderson: Thanks Paul.
Steve Keen: Thanks Paul.
Operator: The next question comes from Ashar Khan with Visium. Please go ahead.
Ashar Khan: Hi, how are you guys doing?
Darrel Anderson: Hi Ashar.
Steve Keen: Hi Ashar.
Ashar Khan: I wanted to find out two questions, one is, out of this new guidance, which the midpoint is 4.10 [ph], is there any one-time item or is this, I’m trying to see can we can we build from this new guidance as we look at next year or you would attribute some portion of it to be one-time in nature and as we model the base, I’m trying to see is the base good enough this new guidance to build off or no?
Steve Keen: Well Ashar with the mechanism that we have in place, I would say the most typical way people have used to get any sort of triangulation on the future is to try to estimate that year-end equity. And even a one-time item to the extent it closes into equity this year becomes a part of next year's computation because it’s, the support level brings you the 9.5% of - actually the following year's year-end equity, it is year-end equity in the year that you are in, but I would say in this year there is not really significant items, we did have one that we called out that was a settlement related to some wages that we had in place on DSM charges, demand side management charges, and that’s an item that had a catch-up element to it and it look back to wages over a number of years. So that’s really, that would be considered a one-time, so you're going to see that same amount falls into next year, but again it drops into the equity and it’s really - rather than trying to guess all the items it’s kind of easier to try to guess the 9.5 and the 10 timeline and you can triangulate that way.
Ashar Khan: Understood, but just wanted to check-in, right. The reason that your estimate is higher this year, right now in the third quarter, versus what you started off in the beginning of the year, is that because of higher growth or the 1.8, I’m trying to see what is driving that extra, the higher estimate for the year as it grows out the year?
Steve Keen: Well one item, that you did here, let’s talk about is the weather clearly had an impact. And we don't have a forecast weather and so that’s an add that wouldn't be there early in the year. In terms of rate settlements, we did have add some dollars to rate base in the middle of the year that weren't there. So that also comes into the picture. It’s a number of things that have gotten us to where - at this point in the year we now feel confident in giving a higher number.
Darrel Anderson: Ashar, this is Darrel. I would just add, the one thing I know - the other thing that Steve did mention in his comments is, we are managing the O&M side of things, I mean that’s also contributing to the left and as we had responded earlier to Paul's question there is pressure on that number, and we will give you updates on what our O&M estimates are and we’ll do that in February for you, but that’s another reason we have seen a bit of the lift this year, because we are doing a good job of managing those O&M expenses. Part of them are because of reduced operations at our thermal fleet, which does provide a benefit, but we also have - there is upward pressures in other areas too. So, we’re doing a decent job with that, but that’s helped and we will continue to do that.
Ashar Khan: And then… go ahead.
Steve Keen: Now, I just wanted to say a little color with the O&M side is, thinking back you kind of forget things few quarters later, but when we had the - the good news of all the snow that we accumulated this winter that puts some pressure on things early in the year. I mean dealing with the snow it was so much that it was actually a challenge in many places and that was putting pressure on O&M in the other directions. So, you don't, in the midst of that project that you are necessarily going to take it back down and we needed to wait and see. Now as we move through the year, we found ways to balance things out that looks good at this point.
Ashar Khan: Okay. And then Darrel my next question was that, I hope going nicely with the stock, but one issue we always face is liquidity, and don't you think it’s kind of, I’m trying to understand the management's view on stock split over here to providers with a little bit more liquidity to trade the stock, which would be helpful, any thoughts on that please?
Darrel Anderson: Yes, Ashar. We look at that from time-to-time and we obviously are aware of that and we have our internal conversations, we actually seek back from others when we look at that and the way the pros and cons of doing that. And so today, we have elected not to. It does obviously enhance liquidity, but at the same time there is a cause to doing that at the same time, and so we are trying to weigh the cost and the value proposition of that, but it’s a question we get somewhat frequently these days, given kind of that where we are trading at, but, I would just tell you we are continuing to evaluate it. And any feedback you have for us, obviously we would take that. As to your pros and cons of it, that’s always helpful for us to because it is important to understand the investor's perspective on this. As you know, stock splits don't do a lot, I mean obviously you have the same value before the split and after the split and the way you go from there depends. So, there is - we do talk about it quite frequently.
Steve Keen: And Ashar I would also just say there are competing opinions on the liquidity side, I have seen one study that actually says your liquidity drops. I think there’s more that say you get some liquidity benefit, but even they are very - pointing to very mild changes, it’s not, it’s almost hard to attribute it to anything real that almost could be just modelling error, it doesn't appear to be really significant.
Ashar Khan: No, but from your perspective the cons are crossed, is that correct, is that what you identify Darrel?
Darrel Anderson: That’s the [indiscernible].
Ashar Khan: Cost of implementing it. My only thing is, that if you get to 100 rate today right now, right, I don't think you can historically go back and look at it, but if I look at my screen it is NextEra, which has the highest stock price, which is of course the largest market cap company in the whole sector and if I’m correct after NextEra it is you, which is one of the smallest market cap companies in the sector. So, it makes it harder for the retail guy and the utility average guy to buy the stock, which I don't know should help with liquidity because we on a relative basis versus the rest of the sector are very, very high versus our market cap on [indiscernible]. So, we are skewed way away from that perspective. So, I don't know - this is my just general thought, but anyways great results and look forward to seeing you.
Steve Keen: Thank Ashar.
Operator: The next question comes from Chris Ellinghaus with Williams Capital. Please go ahead.
Chris Ellinghaus: Hi guys, how are you?
Darrel Anderson: Hi Chris.
Steve Keen: Hi Chris.
Chris Ellinghaus: Can I follow up on Ashar’s question, have you got an estimate for what a split would cost?
Darrel Anderson: We do, but I don’t saw we finally wouldn’t be inclined to share it at this point. We have a determined approximate cost would be. And the other - just the other thing just to follow on Ashar’s comment Chris is, the other thing we actually do look at our current ownership split between the institutional side and the retail side that’s the other component as you know we’re heavily institutional today, and so again we always are open to feedback on this and it’s important to understand it, but we haven't seen yet the compelling story, which to do so at this time.
Steve Keen: Yes. In fact, I would add one other thing. As you know Chris, as we did our dividend strategy the way we have approached that, we spend a lot of time hearing from our - particularly our largest shareholder and when we’ve had this discussion with them it borders on in difference to some saying they don't know why we would do it. So, I do think it’s a place we’re listening if there is feedback we need to hear we will pay attention.
Chris Ellinghaus: Okay, can I add Darrel, I’m shocked and astonished that there will be no ADITC recognition this year.
Darrel Anderson: We appreciate your comment Chris.
Chris Ellinghaus: I didn’t want it to sort of follow-up in terms of this being the new baseline for earnings, do you have an estimate for the third quarter in particular given, I would call them somewhat unique conditions, do you have any sort of estimate what the third quarter weather looked like versus or what the earnings impact might have been versus normal, did you consider this quarter normal, where did that fall into the spectrum of your expectations?
Steve Keen: You know Chris we don’t - that is a place that we don't typically isolate the weather exactly and it is - there are ways to get approximations, but it’s just not something we’ve typically done. Chris, it did help the quarter.
Darrel Anderson: Yes, but as you know, if you look at our Q, we talk about cooling degree days in the third quarter and obviously we were up significantly from where we were last year, up significantly from normal, when you take a look at that and like Steve said, it’s not the easiest thing to do, it is how you tie that right specifically to weather, but it’s fair to say yes we had, there is a weather impact in the third quarter, but attempting to quantify that is really a tough thing to do. Part of it, again I would say is, part of that is mitigated by in the residential small business with the FCA. So, we don't forget that same level of lift. I think what the other piece I would continue to look at is, what I'm focused on is, what are we doing on that? What is happening on the growth side of things and we attempted to capture our best estimate of that in our schedule, and I think that’s the thing that does help maybe interrupt with that baseline. Could look like, but to tour and quantify the weather is really a difficult thing for us to do. We do some internal estimates, but we are not comfortable not to really share those on the outside.
Chris Ellinghaus: Right. Given the FCA, I was thinking more in terms of, did you have any qualitative sort of thought about where irrigation fell in the quarter, anything like that?
Darrel Anderson: Well as you know, we have a couple of things going on here in irrigation throughout the year, part of it was, you know the start of the growing season was delayed because of weather and then obviously we did sell more in the - when you take just slightly in the third quarter over last year's third quarter, but not that much actually slightly down, actually is slightly down. And so even despite the warmer than normal weather, we didn’t sell more kilowatts in the irrigation side.
Chris Ellinghaus: Okay. You hit upon the, sort of the NOAH forecast for precipitation. I was going to ask you about this, given where reservoirs are and sort of NOAH’s outlook should, do you think it’s fair to sort of be thinking about 2018 already as in some ways a replication of 2017, and secondly, do you think that the reservoir levels along with the NOAH forecast is going to influence crop planting plans for next year?
Darrel Anderson: I would say, Chris, it is little too early to really comment on that directly, but I would say that I don't think - last year was a pretty anomalous year from a snowpack perspective in a lot of our regions. And so, I think we, not sure we will repeat last year, but I think we are going to have a good water year, and I believe, again the ag communities, states the reservoir carryover as it stands today, so I think they have a sense as to what it is, part of it will be what commodity prices are doing too. What the forecast is on commodity prices are going to be, that drives it as much as weather in some cases. So, I think we do believe it will be a pretty decent water year barring some drop off in NOAH’s forecast of what precipitation and temperatures might look like, but based on what we know today we’re optimistic.
Chris Ellinghaus: Okay. Thanks, will see you next week.
Darrel Anderson: Thanks Chris.
Steve Keen: Thanks Chris.
Operator: [Operator Instructions] That concludes the question-and-answer session for today. Mr. Anderson, I will turn the conference back to you.
Darrel Anderson: Thanks Gary, and thanks for all of you guys for participating. We know you have been really, really busy today, but we appreciate you taking the time to participate with us today. We absolutely look forward to seeing many of you at the EEI Financial Conference next week. Again, thanks a lot and hope you have a good rest of your day.
Operator: Well that concludes today's conference. Thank you for your participation. You may now disconnect.